Operator: Good afternoon, ladies and gentlemen. And welcome to the Zynex Third Quarter 2024 Earnings Conference Call. At this time, all participants are in listen only mode. A question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to Quinn Callanan from MZ North America.
Quinn Callanan: Thank you, operator. And good afternoon, everyone. Earlier today, Zynex released financial results for the third quarter ended September 30, 2024. A copy of the press release is available on the company's Web site. Joining me on today's call are Thomas Sandgaard, Chairman, President and Chief Executive Officer; Dan Moorhead, Chief Financial Officer; and Donald Gregg, President of Zynex Monitoring Solutions. Before we begin, I'd like to remind you that during this conference call, the company will make projections and forward-looking statements regarding future events. We encourage you to review the company's past and future filings with the SEC, including, without limitation, the company's 2023 Form 10-K and subsequent Form 10-Qs, which identify the specific factors that may cause actual results or events to differ materially from those described in these forward-looking statements. These factors may include, without limitations, statements regarding product development, product potential, the regulatory environment, sales and marketing strategies, capital resources or operating performance. With that, I'll now turn the call over to Thomas.
Thomas Sandgaard: Thank you, Quinn. And good afternoon, everyone. Thank you for joining us today for the third quarter 2024 earnings call. We are pleased to report on our continued progress as the leading provider of non-opioid pain management solutions and building out cutting edge patient monitoring solutions. We have been successful in diversifying our revenue stream and building a sustainable, profitable company that delivers better pain management and monitoring solutions for patients and doctors as well as hospitals. Our continued revenue growth and sustained profitability that has allowed us to reinvest in our business and return capital to shareholders. I think it's worth reminding the investor community that our 2024 revenue expectation of $200 million is more than 50% higher than we were just three years ago. Our continued growth and evolution has afforded us the opportunity to implement greater institutional controls across the company to improve operations, collections and new product introductions as we continue to grow as a business. As part of this evolution, we have used 2024 to take a deeper analytical look at the sales force. While we have identified 800 sales regions across the United States, we are working to ensure that we have the best people and processes to take advantage of the overall opportunity. Such throughout the year, we have termed the sales force to ensure we have the right reps in place to put us in the best position moving forward. We're already seeing the benefits of this approach. And while revenue was essentially flat in the quarter, order growth in the quarter was up 13% year-over-year and revenue per sales rep on an annualized basis in Q3 was $530,000, an increase of 25% of the third quarter in 2023. We're currently sitting at approximately 17% in terms of higher orders in October this year versus October of last year. As our team continues to mature, we expect to drive sales efficiency even higher. We're proud of the pain management group's ability to incorporate new products while increasing orders and revenue. We're confident that we can expedite onboarding new salespeople so we can see increased order growth while maintaining a high standard for productivity. Turning to new products. We received the clearance from the FDA for our new TensWave during the quarter, a advice that aims to provide effective pain relief through transcutaneous electrical nerve simulation, which has been clinically proven to reduce chronic and acute pain without needing medication. ZMS or Zynex Monitoring Solutions continues to move forward in the third quarter with major milestones to commercialize NiCO, our laser based pulse oximeter. We're now undergoing the final phase of a manufacturing transfer, FDA clinical trials and commodization readiness prior to FDA submittal and clearance, and Don Gregg will provide further updates on this product in his prepared remarks. I find it important to remind everyone of the importance of this one product as we will soon be competing for market share in the world's biggest medical device market, pulse oximetry, with a significantly better mousetrap, a real game changer. We're excited to announce FDA clearance last year for our second generation blood and fluid monitor, a noninvasive and wireless technology targeted to improve patient outcomes with better fluid management in hospital settings. Overall, we are making great progress in the patient monitoring division, which we believe will have significant growth potential for the company. Looking ahead, we are making significant progress building on our noninvasive approach with at-home pain management devices and diversifying the new products. In tandem, we focused on ramping our hospital monitoring division, which represents a large and growing market opportunity. We also expect additional catalysts and regulatory milestones during the year as we work to execute on our strong pipeline on new products. As I mentioned, we continue to add additional rehabilitation products to our offering and the volume of those products, as a percentage of overall sales, continue to increase. In the first quarter, we reported our [indiscernible] NexWave private label rehab products made up 25% of our orders, up from low double digits in 2022. We've seen this grow even more in Q3 to just over 31% of total orders. And we believe this diversification is important to our future growth as it provides additional tools for our sales team to engage new prescribers and serves to add complementary revenue sources. These efforts [will] add complementary products to diversify revenue streams and evolve our sales team are part of our effort to institutionalize growth at a higher scale. At this time, Zynex has a strong sales core that we can build upon. With this in mind, we continue to expect 2024 net revenue to increase approximately 9% compared to last year to $200 million and diluted earnings per share of at least $0.20 per share. We produced $10 million in cash from operations during the first nine months of the year and had a cash balance of $37 million at the end of the third quarter, up from $31 million earlier in the year. We believe that with a diversified product portfolio, multiple sales channels, institutional quality policies and procedures and a lean and efficient sales team, Zynex is poised to capitalize on the long term opportunity presented by the 800 potential defined sales territories that we have discussed in the past. We've reached some important milestones and see significant progress in our monitoring division. I now ask Don Gregg, President of Zynex Monitoring Solutions, to provide updates on that business division.
Donald Gregg: Thank you, Thomas. It is an exciting time to work in Zynex's monitoring division as we are closing on major milestones to commercialize our NiCO pulse oximeter. The NiCO verification clinical study is concluding in November of this year at a leading medical education institution and we continue to achieve our program milestones. Throughout the clinical study, we have been monitoring the [Technical Difficulty] the study results are achieving our goals as expected. We are optimistic we will file our FDA 510(k) premarket submission in Q4 2024. This 510(k) will focus on adult and pediatric clearance for the pulse oximeter and accessories. That's assuming all continues to go well and based on historical pulse oximeter clearance data published by the FDA, the 510(k) submittal in Q4 puts us on track for clearance in mid-2025. In addition to completing the NiCO verification study, we have invested in Hypoxia Lab partnerships to support future 510(k) submissions to achieve additional NiCO market claims and publishing of laser pulse oximetry clinical evidence. These agreements provide the opportunity to perform additional human testing if required in preparation for additional information request from the FDA during our 510(k) submittal. We continue to file intellectual property protections, engage influential positions and raise awareness of laser pulse oximetry science. We are now in the final months preparing to commercialize and launch the following expected clearance in mid-2025. We continue to participate in open oximetry, a nonprofit oximetry partnership of research organizations and industry created to improve the safety and precision of pulse oximeters in all populations, because existing LED pulse oximeters on the market demonstrate lower accuracy in people with darker skin tone. The NiCO laser pulse oximeter technology solves the pigmentation challenge. This past weekend, we presented two poster presentations of the NiCO laser pulse oximetry science and its effectiveness at the American Society of Anesthesiologists annual meeting. Specifically, the two posters were: number one, pulse oximetry in the presence of elevated met hemoglobin or carboxy hemoglobin; and number two, laser based pulse oximetry eliminates effects of skin pigmentation on SpO2 measurements. Lastly, we've engaged and recruited several industry leading physicians at major institutions and universities to serve as our champions within the physician community. In summary, we've achieved major milestones in Q3 on NiCO commercial development, clinical verification and FDA 510(k) submission readiness. We will continue to close on clinical operational and commercialization milestones in Q4 2024 to create and meet market demand after FDA clearance. I will now turn the call over to Dan Moorhead, Chief Financial Officer, for a more in depth look at the quarter's financial performance.
Dan Moorhead: Thanks, Don. Please refer to our press release issued earlier today for a summary of our financial results for the third quarter of 2024. In the third quarter, orders increased 13% year-over-year. Net revenue was $50 million compared to $49.9 million in the third quarter of 2023. Device revenue was $14.9 million compared to $16.9 million in the third quarter of last year. Supplies revenue was $35.1 million, up from $33.1 million in the third quarter last year. Device revenue was lower during the quarter due to slowing in our order growth rate over the last couple of quarters, which was affected by the sales rep pruning we did as we focused on sales rep productivity. Gross profit in the third quarter was $39.8 million or 80% of revenue as compared to $40.4 million or 81% of revenue in 2023. Sales and marketing expenses were $20.7 million in the third quarter of 2024 compared to $22.1 million in the same period in 2023. The primary contributor to the decrease in sales and marketing expenses was our head count reduction of sales reps. G&A expenses were $15.3 million in the third quarter of 2024 compared to $12.7 million last year. Approximately $1 million of the increase in G&A was related to our increased investment in Zynex Monitoring. Net income was $2.4 million and $0.07 per diluted share in the third quarter of 2024 compared to net income of $3.6 million or $0.10 per diluted share in 2023. Adjusted EBITDA for the three months ended September 30, 2024 was $5.1 million as compared to $7.3 million in the quarter ended September 30, 2023. Cash flow from operations were $7.1 million in Q3 and $10.3 million year-to-date in 2024. The strong cash flow increased our cash balance on the balance sheet to $37.6 million, up 22% from Q2's balance of $30.9 million. Working capital was $58.5 million as of September 30th. With that, I'll now turn the call back over to Thomas.
Thomas Sandgaard: Thank you, Dan. We've had a strong start to the fourth quarter. And with the continued growth in orders in the fourth quarter of this year, we expect total revenues to come in at least $53.6 million, which is 13% above revenue in the fourth quarter of '23 and diluted earnings per share of $0.09. As for our 2024 outlook, I'll reiterate that we expect total revenues to be at least $200 million, representing growth of approximately 9% over 2023 and diluted earnings per share of approximately $0.20. We're incredibly proud of the growth that we have consistently demonstrated over the past several years. Top line revenue has produced high levels of profitability and free cash flow, which has allowed us to invest in our operations, launch new business line to diversify our revenue stream. The business we have created and the profitability we're able to generate allows us a high degree of flexibility to allocate capital in several ways. We have shown the ability to continue investing in our business and return cash to shareholders simultaneously. We believe both these avenues produce substantial shareholder value. And with that, operator, please open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Avi Dahan with RBC.
Avi Dahan: This is Avi on for Shagun. So first on order growth, there is a pretty big deceleration in third quarter relative to previous quarters. And I know you mentioned it on the call was kind of it was largely because of sales rep pruning. Can you just dig into it a bit deeper because the last couple of quarters you were in like the mid -- like within the 20% and then year-over-year, you're down a good chunk of amount? If you could just dive into like dynamic during the quarter, how orders are trending so far through Q4? And then I have a follow-up.
Thomas Sandgaard: So, so far in this quarter, we see a 17% year-over-year, October versus October. And I think going forward, we'll be in the high teens, not necessarily hitting the very consistent 20% we've been sitting at but definitely a double digit order growth, and we expect to see that continue also well into next year.
Avi Dahan: And then can you just give us an update on the strategic review process and where you are with that? And if there's any updates to timing and whatnot?
Thomas Sandgaard: It continues. There's no real news to announce there other than we -- over the period, we've received a couple of letters of intent. And we continue to move forward with one interested entity in particular. But it's not something we see will close in the very immediate time frame.
Operator: Your next question comes from the line of Jeffrey Cohen with Ladenburg Thalmann.
Jeffrey Cohen: I guess, firstly, could you discuss a little bit about TensWave as far as the transcutaneous still affiliated with it, and perhaps talk about the indications and if a patient would be on both TensWave as well as NexWave simultaneously?
Thomas Sandgaard: No, I don't see that happening, Jeff. The NexWave has three modalities, interferential current, TENS stimulation, which is much lower frequency, commonly known and used and then it has neuromuscular electrical stimulation. There are situations where just a -- and some of that is dictated by insurance coverage, where a TENS only device is -- will be approved for a patient. So we now have our own device, our own manufactured device that produces that with slightly more variations of the various modalities and those you find in the NexWave. What we can say about our TENS modalities compared to what else you find in the market, it's a much higher quality, it's of a much better controlled output that actually provides benefits as it's supposed to versus what else is out there. So it's a very high quality TENS yet. It's when the situation speaks for that we supply that device instead of a NexWave. Most patients still use the NexWave and in the IFC modality simply because it's so much more effective.
Jeffrey Cohen: Was there any share repurchase during the quarter at all, third quarter?
Dan Moorhead: Did not buy back anything during the quarter. The plan is still open, but for the time being, we haven't purchased any.
Jeffrey Cohen: And as far as the rehab business, I know you did discuss orders and percent of total orders relative to orders. Could you talk about top line revenue or you'll tell us when that -- it's 10% of the business?
Thomas Sandgaard: Yes, we are obviously closing in on that number. In terms of the amount of orders we get on all those other products, I don't know NexWave, we're now up to 31% consistently. And we gained, obviously, a lot more experiences for those products and a good cash collections, et cetera, on those products.
Operator: Next question comes from the line of Yi Chen with H.C. Wainwright.
Yi Chen: My first question is, do you intend to add additional sales ramp before the end of 2024 and how many sales rep in total do you expect to have by year end?
Thomas Sandgaard: Obviously, long term, we still need all of those 800 geographical territories to be filled. We expect -- we have started to process after a lot of trimming earlier in the year of adding sales reps again. We'll probably be for the next 18 months, I see us adding a net of 10 reps on a monthly basis going forward from here. So that will include additional trimming but obviously, more additions to the sales force than that. Since we, at this point, have had all 800 territories populated at some point, it will actually be easier for new reps than in the past to get into those territories and take our clinics that may still be sending in prescriptions as we have an inside sales team handling those better producing clinics here while we are -- we're staffing up again. So we put quite a bit of an effort into making sure that new additions to the sales force will have a higher success rate in the past. So the selection of candidates we have optimized and we believe our training continues to be better and better. So we should be able to not necessarily have to do so much trimming as we've done here for several periods in the past while we built the sales force. A lot of it really comes down to sales rep productivity and that number that basically how much cash do you collect per sales rep, per the average sales rep on an annualized basis, that's really -- but a lot of it comes down to. So we continue to make improvements in that area and that will continue for an infinite time, I would expect.
Yi Chen: And my follow-up question is, how many sales reps do you think you need to effectively market NiCO post oximeter once it's cleared by the FDA?
Donald Gregg: We have been looking at a direct and indirect sales force. We'll be deciding that in probably Q1 of 2025 on how we'll definitely go to market, but we're going to start out with a couple of handful of reps and what I call area managers or area directors. And our call points are very specific and they're very focused on certain segments of the market initially. So we will want to ensure that we're going to have a very controlled launch of this product. And so I think that given the clearance would be about mid-2025, we would start that ramp just before that through the end of the year through 2025 and then 2026 would be more of a ramp to a larger number.
Yi Chen: Do you believe the monitor division will be independently a profitable operation compared to the pain management division?
Thomas Sandgaard: They are entirely independent. We don't even have the organization in the same building. And of course, the call points are so different that there are no synergies on the sales side either.
Dan Moorhead: And we believe they'll be profitable long term. Obviously, there's going to be a ramp to get to that point. But yes, long term, they should be profitable.
Operator: I will now turn the call back over to Thomas Sandgaard for closing remarks. Please go ahead.
Thomas Sandgaard: Yes. Thank you for joining us today. We are pleased with our performance this quarter and the consistent growth our team is delivering. We look forward to leveraging that momentum throughout the rest of the year and speaking to you at upcoming investor events. We appreciate your time and interest in Zynex. Have a great day. Thank you.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.